Operator: Good afternoon, everyone, and welcome to the Red Robin Gourmet Burgers, Incorporated fourth-quarter 2020 earnings call. Please note that today's call is being recorded. During today's conference call, management will be making forward-looking statements about the company's business outlook and expectations. These forward-looking statements and all other statements that are not historical facts, reflect management's beliefs and predictions as of today, and therefore, are subject to risks and uncertainties as described in the Safe Harbor discussion found in the company's SEC filings. During today's conference call, management will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles but are intended to illustrate an alternative measure of the company's operating performance that may be useful. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in the earnings release. The company has posted its fiscal fourth-quarter 2020 earnings release and supplemental financial information related to the results on its website at www.redrobin.com in the Investor Relations section.
Paul Murphy: Good afternoon. And thank you for joining us today. With me is Lynn Schweinfurth, our chief financial officer who will review our quarterly results after my prepared remarks. I would like to begin by providing a high-level summary of where Red Robin is today, and how our accomplishments in 2020 give us strong confidence in the future of our brand. 2020 was an unprecedented year, and while the pandemic brought forth complex challenges it enabled us to intensely focus on improving our operating and financial model. The material improvements we made to our business will enable us to resume our transformation strategy in an even stronger position, and deliver our brand promise, recapture the soul of Red Robin effectively, tell our story, and accelerate profitable growth. Part of our transformation strategy to deliver our brand promise included improving our guest service model. The pandemic created an opportunity to accelerate the implementation of our Total Guests Experience or TGX hospitality model as dining rooms reopened. TGX combines technology and improved service coverage to deliver an elevated and more attentive guest experience, enabling our servers to stay in their section the majority of the time. Improving our speed of service, including decreased ticket in window wait times, and improving cleanliness scores. We also restructured our management-labor model to provide increased flexibility and better supervisory coverage during peak times. This new model is beneficial for both our guests and our team members as it supports our TGX hospitality model while also creating a structured and clear career path for team members. The flexibility of moving two salary manager positions to one to three hourly shift supervisors also allows us to convert historically fixed labor costs and generate annual savings of approximately $14 million. Both the TGX service model and our new management-labor model are contributing to our highest ever guest satisfaction scores. The pandemic also allowed us to focus on improving our enterprise business model with meaningful operational efficiencies and permanent cost reductions. We simplified our menu, which reduced over one-third of our offerings and enhanced operations resulting in over $2 million of annual savings in terms of back of house labor, and reduced waste. We made significant improvements to off-premise execution, including process and technology enhancements, and implementing a triple check accuracy program ensuring every order goes through three checks before being handed to the guest. Our improvements resulted in a 40% increase in order accuracy, and a 50% increase in overall off-premise guest satisfaction scores even as offering the sales more than doubled, compared to the prior year. We also reset our corporate infrastructure and made it more flexible through a 10% plus reduction in general and administrative expenses of approximately $10 million in permanent annual savings prior to future growth drivers and other inflationary costs. Finally, we optimize our portfolio as we near the completion of our lease negotiations.
Lynn Schweinfurth: Thank you, Paul. I share Paul's confidence that our brand is strategically positioned for consistent, meaningful growth as we move beyond this pandemic. Let me begin my opening comments with a summary of fourth-quarter performance, liquidity, and 2021 accomplishments. We experienced a 29% decline in fourth-quarter systemwide comparable restaurant revenue, primarily driven by restrictions on dining room capacities in some of our key states; including California, Colorado, Oregon, and Washington. Additionally, restaurants that are offered Donatos in the fourth-quarter outperformed non Donatos restaurants with similar indoor dining restrictions by over 500-basis-points, partially offsetting the decline in net comparable restaurant revenue. We are maintaining strong off-premise sales comprising 43.9% of total food and beverage sales. Approximately 80% of our off-premise orders were driven through digital channels in both regions that have had dining rooms reopen for a prolonged period. And regions that have been subject to multiple indoor dining room closures, we are seeing off-premise mixed sustain at over two times pre-pandemic levels. We believe guests have adapted to off-premise occasions more than before and that the off-premise mix will stabilize at a higher level as we return to the post-pandemic sales level. We ended the quarter with liquidity of approximately $128 million, including approximately $16 million of cash and cash equivalents, and available borrowing capacity under our revolving line of credit. Given the prolonged impact of the pandemic beyond what was previously anticipated last spring, during the first quarter of 2021, we entered into a second amendment to our credit agreement. The second amendment provides increased near-term flexibility as we continue to deliver our balance sheet and strategically positioned the brand for 2021 and beyond. As of the end of the second fiscal period ended February 21, 2021, our liquidity was $122 million, including the impact of a one-time cash payment of $8.5 million paid during the first quarter of 2021 related to a legal sales settlement. Excluding the impact of this one-time legal settlement payment, we had positive cash flow in the first eight weeks of fiscal 2021 of approximately $2.5 million. As we confirmed last quarter, we received $49.4 million in cash tax refunds, inclusive of interest payments during Q4 as a result of the CARES Act, net operating loss carryback provision, which we used to pay down our revolving line of credit and deleverage our balance sheet. Additionally, we are taking advantage of the tax benefits and deferrals as allowed by the CARES Act.
Paul Murphy: Thank you, Lynn. Let me conclude with a few key takeaways before we open the line for questions. 2020 was a challenging year on all fronts. For our team members, for the communities and guests that we serve, and for our business. Not only did Red Robin persevere, but we also use the lens of the pandemic to look at ourselves with introspection and develop our strategy for the future. We recapture our soul by identifying and connecting with our core guests while remaining committed to our focus on operational execution. We told our story by playing to our strengths in digital marketing, driving the best ever Loyalty Engagement, and significantly improved website traffic. We accelerated profitable growth by improving our enterprise business model with meaningful operational efficiencies and permanent cost reductions, which serve to improve our position both in the short run as well as our readiness for recovery. And we deliver the brand promise by improving our service model resulting in record-high guest satisfaction scores and continuing to provide our guests with a unique and truly differentiated casual dining experience. Having positioned ourselves to be ready for recovery and with our future growth drivers in place, we have confidence in the future of Red Robin. And of course, all of our great work and optimism for the future would not be possible without the incredible efforts and accomplishments of our Red Robin team members. We cannot thank them enough for what they have done on behalf of our company and the communities we serve. Let us now open the call for questions.
Q - Alex Slagle: I just wanted to get your thoughts on the opportunity for market share gains in the Western markets. As you mentioned the higher levels of competitive closures in many of these markets. I guess, all over the country that would suggest an opportunity for an even stronger comp rebound and potentially sales volumes getting above pre-COVID levels as the recovery takes shape to interested. If you could provide any additional color on what you're seeing in these markets relative to others, and what that might mean for Red Robin down the road.
Paul Murphy: Well, Alex, I'd say what we're seeing, I think, you're correct. The West Coast is obviously, some of the real strength for Red Robin. The highest volume and frankly, it has been shut down from restrictions the longest of any parts of the country. I'm very encouraged by what I'm seeing by the sales level that we've had on the West Coast as just even in California with the outdoor seating reopening. We are performing well against Black Box especially on the West Coast from a transaction standpoint. And that's what tells me that we're going to be able to take market share as we get the dining rooms to reopen there. So, I believe that to your hypothesis that you know the data that we're seeing today tells us that there's going to be market share gain and growth for Red Robin. When I look not just at California, but also Washington, and Oregon, as we move forward.  So extremely pleased with what I'm seeing and bullish on what I think the outcome is going to be for our brand.
Alex Slagle: Got it. And then on the -- just on marketing activities if you had any comments on the results of the national marketing efforts in 4Q with TV and if that was sort of in line with expectations. And then separately on the Loyalty program changes coming on deck, if you could comment on the timing and what the potential changes might be?
Paul Murphy: Well, obviously, we did do some broadcast media in the fourth quarter, but we also had a substantial amount of restaurants where we didn't quite expect the number of dining room closures that we had. We did do a pivot in Q1. It is our first -- basically all digital marketing outreach and messaging, and we've been very pleased. A lot of the work that we did in 2020 especially on the royalty -- or loyalty side is our top three guest segments. We not only segmented the messaging but  and that's what we have been doing in Q1, and we believe that the work that we're doing from a technology side will enable us to frankly get even better at that as we move through 2021. So, I'm actually pleased with how the digital-only outreach or marketing in Q1 is working, which I think bodes well for Red Robin because it just gives us more opportunity to expand our outreach as the cost of digitals certainly lower than broadcast TV.
Operator: . Our next question will come from Brian Vaccaro with Raymond James.
Brian Vaccaro: Thanks, and good evening. One of the questions is on the recent sales improvement you've seen. I know it's just one week before and obviously, a pretty significant increase back of 50,000 AWS and it seems like there's a pretty good week probably for the category. But just curious it was broad-based, perhaps it was a particular region or segment of the business that accelerated more. Just some color on that week if he could and what's been driving that improvement.
Paul Murphy: Well, I think obviously, some dining rooms are reopening. We were down for the week 13% in restaurants that had some capacity in their dining room. We were down 9% for this last week, but it was very broad-based. I think the one thing I'd point out is that -- for that week in California we have 53 restaurants and only three restaurants had any indoor dining. In Oregon, we did recently open up, but it only is allowing 50 individuals in the restaurant, and that's inclusive of the team members. So, capacity is probably more in the 10% to 15% range. So, we are extremely pleased with the 9 and the 13 results because we see -- still, a lot more to come with California reopening, and then both Washington and Oregon being able to expand beyond the 10% to 15% or 25% level. So, we think that it's really the beginning of the recovery. I can't really speak to the pace, but certainly the news out of Texas and of some other states, yesterday was good in the sense that being able to move more restaurants into the 75% to 100% capacity. So, I actually think things are just going to get better from those numbers.
Brian Vaccaro: Yes. Yes, that makes sense. And I think in California, and some Texas needs the other California in San Francisco news as well. I think allowing new reopened restaurants with dining room seating of 25%, is that correct? But I guess what's -- what's the typical bogey. Does it make sense for you to open restaurants if you're -- if they allow 25%? Or do you need to see higher than that?
Paul Murphy: No, Brian especially in California with what we've been able to accomplish with the extended outdoor seating opening it up whether it was at 10%, 15%, or even 25% out of the gate is accretive to us, both top line and bottom line.
Lynn Schweinfurth: And what's really encouraging Brian as our indoor dining rooms are opening, our off-premise sales are staying at a very sustained high level.
Brian Vaccaro: Yes. And I guess to that point, is it possible to isolate say that the units that are at 75% or greater capacity, how many that might be? Currently, is it possible to isolate, give us a sense of where sales volumes are for those restaurants specifically, and what that dining inverse off-premise mixed looks like? Maybe just spoke to it maintaining that of two acts. But can you speak the average weekly sales in the ones that are further along, and in raising the effective capacity for dining?
Paul Murphy: Well, Brian, this is Paul again. For restaurants that have less than 50% capacity, we're seeing off-premise sales about 55% of the total in restaurants that have 50% to 74% capacity. We're seeing the off-premise sales mix of approximately 38%, and then the restaurants that are 75% or greater, we're seeing the level at 31%. In terms of off-premise sales and comparing that to the pre-pandemic number of 14% certainly that's more than double. And we're very pleased with what we believe bodes for the future. I think as you can guess is, as its capacity rises or these rises, but I did not break it out into those segments. So, I'm more broken out to be able to tell what are we seeing from whereas off-premise going as dining rooms reopen because we -- I believe long term that is really where we're going to be able to see strong incremental growth both the top and bottom line as the dining rooms come back online.
Lynn Schweinfurth: And I think what we tried to do Brian in our press release today is provide some additional data points in terms of which restaurants had open indoor dining rooms, and then the full system. And then, we additionally incorporated these sales volumes for our Western markets, which are just starting to reopen.
Brian Vaccaro: Yes, I appreciate it.
Lynn Schweinfurth: Yes, and that some of the capacity implications.
Brian Vaccaro: Yes, absolutely. That's very helpful. I'm sorry if I missed it, but did you disclose the off-premise sales mix in the quarter-to-date period. Can you disclose the quarter to date?
Paul Murphy: For Q1?
Brian Vaccaro: Yes.
Paul Murphy: I'll be honest with you Brian, I'm not sure if we have disclosed that. We're looking at the material quickly if you're Ok with that.
Brian Vaccaro: Okay. No worries. Maybe I'll move forward on the margins and specifically how you're thinking about the advertising spend. And obviously, just as the environment normalizes it's a very dynamic environment. But based on what today, what -- what's the reasonable stab as your 2021 selling price? And then, thinking longer term, do you see an opportunity to optimize with ads spend in a post-COVID environment?
Lynn Schweinfurth: Well, Brian, I'll answer your question this way. I mean, we are anticipating savings over 2019 levels, which we shared in the past. And we are continuing to evolve our thinking around how we're spending our marketing dollars and the returns we're getting related to those investments. So, we're not prepared today to provide specific guidance on selling expenses.
Paul Murphy: I will tell you Brian though that I've been very pleased with the results. We have made a bit of a pivot from what you historically have seen with the Red Robin brand, and the reliance on broadcast TV getting much more into the digital space doing the customer segmentation and targeting against those segments. And out of the gate, this is the first quarter that we have solely been doing that. And I'm -- today, very pleased with what I'm seeing and the response that we're getting out of our campaign. So, I think you will see more of that as we move into the future. And I think as you know that tends to be a bit of a less expensive channel than the broadcast media.
Brian Vaccaro: Yes. Yes, definitely. All right I'll pass along. Thank you, very much.
Lynn Schweinfurth: Thanks, Brian.
Operator:  As there are no further questions, this will conclude our question-and-answer session as well as today's conference call. Thank you attending today's presentation. You may now disconnect.